Operator: Hello, and welcome to the Teladoc Health Third Quarter 2024 Call. My name is Alex, and I'll be coordinating the call today. [Operator Instructions] I'll now hand over to your host, Michael Minchak, Head of Investor Relations. Please go ahead.
Michael Minchak: Thank you, and good afternoon. Today, after the market closed, we issued a press release announcing our third quarter 2024 financial results. This press release and the accompanying slide presentation are available in the Investor Relations section of the teladochealth.com website. On this call to discuss the results are Chuck Divita, Chief Executive Officer; and Mala Murthy, Chief Financial Officer. During this call, we will also discuss our outlook and our prepared remarks will be followed by a question-and-answer session. Please note that we will be discussing certain non-GAAP financial measures that we believe are important in evaluating Teladoc Health's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release that is posted on our website. Also, please note that certain statements made during this call will be forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to risks, uncertainties and other factors that could cause the actual results for Teladoc Health to differ materially from those expressed or implied on this call. For additional information, please refer to our cautionary statement on our press release and our filings with the SEC all of which are available on our website. I would now like to turn the call over to Chuck.
Chuck Divita: Thanks, Mike, and good afternoon, everyone. We're pleased with our results for the quarter, including delivering Integrated Care revenue, adjusted EBITDA and membership above guidance, as well as BetterHelp revenue in line with prior commentary. Mala will provide more detail on our results in a moment. And before turning to Mala, I would like to share some additional thoughts on the business having wrapped up my first full quarter as CEO. I believe in our potential. I see many strengths to build upon, including the company's market position and scale, assets and talented employees. We are making a lot of changes, and I want to thank our employees for their dedication, to serving our customers and how they're leaning in to move the business forward. As I mentioned in the second quarter call, I also see opportunities to strengthen performance and position the company for long-term success. We've been addressing this with urgency, including streamlining our leadership structure, rationalizing priorities, and improving execution. The operational challenges experienced earlier in the year, which can have a lingering impact on the business, underscore the importance of making progress in this regard. Changes have also been made, to how we manage the business to sharpen market focus, accelerate product innovation, and pursue new ways to serve our customers' needs. For example, in U.S. Integrated Care, we brought together areas previously managed separately, and combine them directly under a single business leadership structure. We've also broadened our clinical delivery capabilities, refined shared services, and we're closely aligned investments and deliverables. There's more work ahead of us, but we're already seeing positive impacts in terms of efficiency and effectiveness, and I'm confident that we're creating a stronger foundation for the future. These actions are also important as we look at the dynamics, within the markets we're serving. In the U.S. market, it's clear that continued high medical cost trends, and other pressures are impacting our current and prospective customers. And in turn, they're evaluating their strategies, and expecting more value from the broader healthcare ecosystem, including from virtual care. Through our leadership position in the U.S., we see an ability to further enhance our value proposition to support these evolving needs. This includes generating greater value from our virtual visit and touch points, and deepening the impact of our chronic condition management services. We see these areas as essential to unlocking our growth potential. As such, this will be a core priority in terms of strategic direction, and investments we're making. Our International Integrated Care business, is well positioned and continues to gain strong momentum through geographic expansion, and market penetration and added services to existing customers. We've had some important wins in several markets, including in Canada. We expect to further invest in our International Integrated Care business, as a core priority as well to support our growth agenda. With respect to BetterHelp, our current focus is on running it effectively, by balancing top line growth with profitability, and evaluating initiatives aimed at generating greater value from the business. BetterHelp has become the largest direct-to-consumer virtual therapy business of its kind, by addressing an unmet need and serves over 1 million people per year, and with a consumer Net Promoter Score of over 70. With that said, challenges remain, including declining revenues, when compared to prior periods. Solid progress is being made towards stabilizing results in the U.S. and growing internationally. Mala will comment more on that in a moment. BetterHelp is also making progress on an initiative, to provide consumers with the ability to access their coverage benefits. Capability milestones are on track, and exploratory discussions have begun with select health plans, and other potential partners. As I mentioned in the second quarter call, a measured approach is being taken with this initiative, and the primary focus remains on improving direct-to-consumer results. In closing, let me highlight some key themes we're rallying around, to drive the business going forward. The first is customer centricity. We operate in complex and evolving markets, and it's essential to understand the unique needs of our customers and in turn, be able to consistently deliver solutions that demonstrate value and support their objectives. Second, we intend to further leverage technology to drive greater scale and differentiation, and to deliver a more integrated experience for our members and providers. We will focus our technology investments against key business priorities and balance overall spend with benefit realization objectives. Third, clinical excellence will continue to be a core pillar in what we do, and how we differentiate our solutions in the market. We will build on a strong track record that we already established as a company, to further inform our product road map and how we enable, and deliver services and generate results for our customers and patients. And fourth, we're embracing a high-performance culture, one that has a bias to action on collaboration and innovation, all in the pursuit of serving our customers and driving long-term shareholder value. We are going through a lot of changes as a company, and as an industry, and culture will play a critical role in shaping our future. We're already taking actions in support of these areas, and the priorities I outlined earlier. As we close out the year and move into 2025, we'll remain focused on our financial performance, while also making investments to strengthen our position, and ability to unlock future growth potential. I'm gratified by the progress we're making, and with our overall results for the quarter. And with that, I'll turn it over to Mala.
Mala Murthy: Thank you, Chuck, and good afternoon, everyone. Third quarter consolidated revenue of $641 million decreased 3% year-over-year. Third quarter adjusted EBITDA was $83.3 million, down 6% year-over-year, and represented a margin of 13%. Consolidated net loss per share in the third quarter was $0.19, compared to a net loss per share of $0.35 in the third quarter of 2023. Net loss per share in the third quarter included amortization of acquired intangibles of $0.30 per share pretax, and stock-based compensation expense of $0.20 per share pretax. Additionally, during the quarter, we also recorded a $3.6 million charge or $0.02 per share pretax, related to severance costs as well as lease termination costs, as we continue to act upon expense efficiency opportunities. Third quarter free cash flow was $79 million, up approximately 16% on a year-over-year basis. We ended the quarter with over $1.2 billion in cash and cash equivalents on the balance sheet. Turning to our segment results. Integrated Care segment revenue of $384 million increased 2.5% over the prior year period, and was above the top end of our guidance range. During the quarter, we benefited from the resolution of a prior period billing adjustment with a large client, which added roughly 115 basis points to revenue growth. Our virtual care business saw strong growth in visit revenue, as increased membership drove additional visit volume. U.S. Integrated Care segment membership at quarter end, was 93.9 million members above the high end of our guidance range, increasing by 4% year-over-year, and by approximately 1.5 million members sequentially. Chronic Care ended the quarter with total program enrollment of $1.18 million, up approximately 5% year-over-year and up slightly sequentially, driven by enrollment from both existing and new clients. Our International Integrated Care operations continued to show strong momentum with revenue growth in the high-teens on a constant currency basis. We are seeing continued success in winning large B2B clients, moving into adjacent verticals that we believe will deliver new opportunities for growth. Average Integrated Care revenue per U.S. member of $1.36 was flat sequentially, and down by $0.05 versus the prior year's third quarter. As we have previously discussed, this dynamic is largely mix driven as a result of onboarding, a sizable amount of new members in our general medical product. These members typically contribute, less to our average revenue per member initially, although we see opportunities to cross-sell additional products into those customers, through our land and expand strategy and generate additional visit volume over time. Third quarter Integrated Care adjusted EBITDA was $68 million, an 8% increase over the third quarter of 2023. Adjusted EBITDA margin of 17.7%, was well above our guidance range of 14.5% to 16%, and represented growth of 96 basis points over the third quarter of 2023. We saw approximately 170 basis points of benefit to adjusted EBITDA margins, from the previously discussed revenue adjustment as well as some favorability from OpEx timing. Turning to the BetterHelp segment, third quarter revenue of $257 million was down 10% versus the prior year and consistent with the baseline we had previously communicated. While there has been some variability across our channel, overall customer acquisition costs in the third quarter have remained relatively stable, albeit at elevated levels. Revenue declined approximately 3% versus the second quarter. Average paying users declined by 2% sequentially and were down 13% versus the prior year. The decline in revenue and average paying users in the third quarter was a result of fewer gross users added to the platform as we again made a deliberate decision to refrain from pursuing inefficient member based growth. Importantly, average revenue per user, churn rates and member retention have all been fairly stable over the course of 2024. We started to see some early signs of stability in the paying user count with slightly positive momentum in the third quarter as the monthly user count at the end of September was modestly above that at the end of the month of June. BetterHelp adjusted EBITDA was $15.2 million in the third quarter, down from $26 million in the prior year and $25.5 million in the second quarter of 2024. Adjusted EBITDA margin of 5.9% decreased approximately 320 basis points versus the prior year and was down from 9.6% in the second quarter. Factors driving the decline include the impact of lower revenue this quarter coupled with some additional ad spend in particular in the international markets at a favorable return, which helped drive the stability in the monthly user account. Now let me turn to guidance. For the fourth quarter we expect integrated care segment revenue to be flat to up 2.5%. We expect adjusted EBITDA margin between 12.25% and 13.75%. The lower sequential margin in 4Q reflects our strong third quarter margin as well as incremental investments we plan to make in the fourth quarter to advance the priorities Chuck had discussed earlier, we expect these incremental investments to drive a roughly 125 basis point headwind to adjusted EBITDA margins in the fourth quarter. Our fourth quarter guidance implies full year integrated care revenue growth in the low to mid-single digit range, which has remained unchanged over the course of 2024. Based on the performance to-date and fourth quarter outlook, full year adjusted EBITDA margin is now expected to be in the range of 14.9% to 15.3% with the midpoint in line with the midpoint of our initial guidance provided in February. At the midpoint of this range, adjusted EBITDA dollars would be up approximately 20% in 2024 versus 2023. In addition, with third quarter coming in above guidance, we are raising our U.S. Integrated Care member guidance range and now expect to end the year at 93.5 to 94.5 million members. For BetterHelp while we are encouraged by the improved stability seen in the third quarter based on the factors mentioned in the second quarter, we are not reinstating formal segment revenue or adjusted EBITDA guidance for the fourth quarter or full year. Therefore, to heath level set from a modeling standpoint, we offer the following three points. First, the election season has led to some uncertainty, although as we approach November this has not had a significant impact at this stage. However, the holiday season does present an additional area of uncertainty. Second, as we had discussed on the second quarter call, if customer acquisition costs remain at current levels, we would expect second half revenue to be down low double digits. We anticipate the year-over-year decline in the fourth quarter to be generally consistent with the third quarter. And third, while we historically have seen a sizable sequential step up in adjusted EBITDA dollars and margins in the fourth quarter versus the third quarter, we have already been cutting back on U.S. ad spend thus far in 2024 while we are also investing incrementally across our international business in BetterHelp. And therefore the sequential decline in ad spend from the third to the fourth quarter will be less significant this year, which we expect would lead to a much smaller step up in fourth quarter adjusted EBITDA. Based on our decision to not reinstate formal guidance for the BetterHelp segment, we are therefore not offering guidance for consolidated revenue, adjusted EBITDA, net loss per share or free cash flow for the fourth quarter or full year 2024. As we look ahead, we wanted to provide you some color on the trends we are seeing in the business that are shaping the 2025 outlook. First, within the Integrated Care segment, the selling season in the U.S. extends through the fourth quarter and we continue to aggressively work our pipeline. Our retention rate remains above 90%, but is down slightly versus prior years. Bookings are tracking lower than this point in the prior year, which we believe reflects a challenging backdrop more broadly, including with respect to health plans due to various market developments. That said, we believe contribution from new and existing customers will lead to increases in membership and visit volumes. Our International Integrated Care business has delivered steady and predictable results over the past few years, outpacing overall segment revenue growth and we expect strong growth to continue next year. Taken together, these factors could lead to 2025 full year revenue growth that is approximately consistent with the range of growth we are projecting in the fourth quarter of 2024. Turning to margins, our 2024 guidance implies strong margin expansion. We have realized benefits from ongoing progress we are making against cost savings and productivity initiatives and expect benefits to continue to accrue next year. We view 2025 as being an important repositioning year for the company as we execute against strategic initiatives aimed at strengthening our business and aligned with the priorities that Chuck has laid out earlier. Actions we are taking to position the company for long term success will require incremental investments as we build out various products and capabilities. These will help enhance our value proposition and more effectively support client objectives as we adapt to evolving market demands and pricing dynamics in the core virtual care business. We expect these investments to ultimately unlock growth opportunities into the future and position the company to deliver sustainable, improved performance. Importantly, we remain committed to managing the business to an appropriate level of performance and endeavor to maintain adjusted EBITDA margins in 2025 generally in line with 2024 levels. Next, BetterHelp continues to be a business in transition. We faced tough year-over-year comps in 2025 resulting from decline in paying users in our existing business over the course of 2024 due to higher customer acquisition costs, which we expect to remain elevated in 2025 and steady with current levels. Traction from our various initiatives including insurance acceptance, further international expansion and product enhancements should contribute incrementally, helping to ameliorate headwinds in the existing business and leading to greater stability in revenue on a quarter-over-quarter basis as we progress over the course of the fiscal year. Our focus will be on prudently managing the top and bottom line and we won't pursue inefficient growth in our user base to ensure margin stability going forward. Finally, I want to wrap up with some quick thoughts on capital allocation. We have a high degree of financial flexibility with over $1.2 billion in cash and cash equivalents on the balance sheet as of the end of the third quarter. With respect to the convertible bond coming due in June 2025, we currently anticipate retiring that with cash on hand at maturity. We are still formulating our outlook for 2025 and beyond, including investments targeted to strengthen and differentiate our position. We believe our strong cash position, cash flow generation, and business position provides us with optionality in the future. With that, I will turn the call back to Chuck.
Chuck Divita: Thanks Mala. Looking ahead, we will continue to evaluate all aspects of our business and move with urgency on opportunities, to drive higher levels of performance and position the company for long-term success. Revenue growth, profitability, cash flow generation and maintaining a strong balance sheet, are key priorities as we make moves to advance our strategy. We are committed to business success, and shareholder value creation. I look forward to sharing further details on our ongoing progress in the coming months. With that, we will open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question for today comes from Stephanie Davis of Barclays. Your line is now open. Please go ahead.
Stephanie Davis: Hi guys, congrats on the quarter. And thank you for taking my question. I was hoping that we could dig in a little bit more on that BetterHelp fee for service transition. How was the back end transition? How long do you think payer contracting will take? And just given you have a lot of these payer relationships and integrated care, have you had any early conversations with payer clients, about how the transition is? You're planning it out?
Chuck Divita: Yes. Thanks for the question. I think first of all just want to underscore, the importance of us maintaining our focus on it as a consumer oriented business model. I think we are very focused on managing the top line and the profitability of the business, making sure we have the U.S. business stabilized and so forth. So I just want to make sure, that that is underscored as a priority. With respect to the initiative to create an ability for consumers to access their benefit coverage that is progressing. Many of the internal capabilities that are needed are on target. We are, as I mentioned in the last quarter doing that both internally, as well as through partnerships to progress there. And we have already started some discussions with select health plans, as well as other partners to advance that. So yes, that's progressing along. But again, we're going to take a measured approach with that initiative, and make sure that as we make investments and roll that out, that we're being very methodical on that.
Stephanie Davis: Understood on that. And a follow-up, just a quick one, I have to ask, because that just came from the health conference. We see a lot of players saying they're looking to disrupt what you guys are doing in virtual care. We heard a lot about clients pushing back on PMPM, but you continue to gain a market share and lives and integrated care. So I just kind of love to hear what you're seeing on the ground, and how you're navigating that?
Chuck Divita: Well, look, I think just a few things I would touch on one, the virtual visit business has been, widely adopted now. And if you look at - how many people have access to those services, whether it's through companies like ours and others, whether it's through brick and mortar, so it's pretty widely available. I think one of the things that's important though, is we operate at such scale in terms of the ability to deliver. And deploy that to match people with providers and be able to do that within a certain timeframe, meeting the right requirements. And that's difficult to match. And I think that that's recognized in the market, and that's why you continue to see our membership grow. So, we understand that it's a competitive space, but we believe that our value proposition still remains strong there.
Mala Murthy: I would also add, Stephanie, this is where the fact that we are adding members at the rate that we are doing this quarter, was another strong quarter of membership growth. We have added, you know, 3.7 million lives year-over-year and 1.5 million sequentially. That essentially is the fuel for our land and expand strategy, which essentially we get these lives and members on our platform, and it allows us fertile ground to cross-sell additional products over time.
Stephanie Davis: Love seeing it. Looking forward to more. Thank you guys.
Operator: Thank you. Our next question comes from Lisa Gill of JPMorgan. Your line is now open. Please go ahead.
Lisa Gill: Thanks very much. Good afternoon. I just really want to follow-up on some of the comments that you made on the 2025 selling season. So as you think about today and the visibility you have going into '25, I think Mala made a couple of comments. One that you expected revenue growth to be similar to the fourth quarter, which would be flat to 2.5%, which is below your total 2024 guidance. So I'm just curious on a few things. One, you talked about retention still above 90%, but that's lower than what you've seen historically. So, where are you losing business to? And then secondly, how do I think about, that land and expand opportunity? What's your expectation around membership growth, based on what you've seen thus far for the 2025 selling season? And then lastly, you also talked about bookings being a little bit lower. Is that specific to Chronic Care, or is there something else that we should be think about, when we think about, the 2025 selling season?
Chuck Divita: Yes, well, I'll make some comments and then have Mala jump in. I think first of all that the team is very active in evaluating opportunities to close out the year strong. Most of the channels that we have are in line with prior levels, at this point in terms of booking, where we're seeing, I would say the most headwind, is in the health plan space. And I think, as you know, well, there are several things that are playing out there. And as companies adjust their strategies to the changing market, I would say, the health plans are very adept at navigating through that, and that will settle in. But certainly can have some pressure in the near term. As I would say, generally speaking, a pretty significant belt tightening going on there. And I would expect that to continue into 2025. I think the trends in terms of rising medical costs, other pressures are sort of tailwinds for businesses like ours. But that also means that there might be some headwinds in the near term here. So I think that's really where we're mostly seeing it. The other comment I would make, in terms of most of our, at least the majority of our bookings and pipeline are in the CCM space. So I think that carries over with that comment as well. Mala?
Mala Murthy: Yes, thanks, Chuck. Lisa, what I would add is, first of all, we are, I would say, still in the midst of the heavy part of our selling season. So, we have a little more wood to chop from a time perspective, and we continue to have productive conversations with our clients. We wanted to sort of give you all a view on, what are the trends and the dynamics that we are seeing thus far. And how does that set us up for at least preliminarily, for revenue growth next year? You mentioned the 0 to 2.5% in integrated care. I would say just a couple of other things. It is certainly Chronic Care is the preponderance of our overall bookings. So to the extent that we are seeing the trends we are seeing, it certainly is inclusive of chronic care. And the last thing I would say is when we think about our revenue growth. I just remind you all, certainly bookings is important and we have other levers to grow revenue, and we with under Chuck's leadership and with the investments we are making, are leaning on all of those levers. Those include driving greater enrollment. It includes certainly more visit volume. And this is where the point that Chuck made around, increasing the value for every visit, and every interaction really does matter. Certainly looking at pricing surgically, all of those are levers that we would use when we think about growing revenue next year.
Lisa Gill: Okay. Great. Thanks for the comments.
Operator: Thank you. Our next question comes from Jessica Tassan of Piper Sandler. Your line is now open. Please go ahead.
Jessica Tassan: Hi guys. Thank you for the question. I was hoping to just understand as you all engage payers around coverage for BetterHelp, how is the competitive landscape developing? Are payers content to have maybe one virtual behavioral health partner? Do they want as broad a network as possible? Are they aggressively negotiating fee for service rates, and just any nuances you'd call out between commercial and Medicare Advantage? And then just I'm curious about the SG&A burden on Teladoc in a in a payer sponsored arrangement. Just because I would imagine Teladoc needs to spend, to some extent to generate utilization and fee-for-service rates. So just, how should we think about the SG&A burden on you all as you migrate this to a payer-paid model. Thanks.
Chuck Divita: Yes. And again, I'll underscore a point I made earlier. The predominance of the business at BetterHelp is going to be consumer. It's a consumer driven model. It's where their strengths are. It's where a great business has been created there. So that is going to be the main focus here. What we're trying to do is explore of those consumers that are wanting to engage with BetterHelp and want to access benefit coverage, how do we most effectively do that? So it's a little bit of a different angle on the challenge. That's why we're being very methodical in terms of how we're rolling it out so that we can identify those areas where we can do that. Now there are definitely capabilities that are needed to do that and that's why we're approaching it, I think in a pretty smart way, in a methodical way to develop the capabilities we need internally to make the experience right and work with others to bring the other capabilities to bear. So, I think that we are being methodical about it and we are. But again, we are going to be primarily a direct-to-consumer model for the foreseeable future.
Mala Murthy: And what I would add, Jessica, is, you know, the way we are approaching this, certainly methodically, the investments that we are making for the back end capabilities that Chuck referenced in his prepared remarks and just now, we are going to do that methodically over time seeing the progress that we are making in the market. We certainly are having conversations with payers. We are absolutely leveraging the relationships that we have already on our B2B side. And the last point I'll make is, when you think about SG&A for this, aside from the investments for capabilities, the way we approach think about this is, we are spending advertising and marketing spend to bring consumers in, right? This is a way for us to actually get more consumers in, because we offer them another choice to essentially take advantage of the BetterHelp platform and product. So think of it as a way for us to leverage the marketing spend we have across consumers using it a different way.
Jessica Tassan: Got it. Thank you. Thank you.
Operator: Our next question comes from Michael Cherny of Leerink Partners. Your line is now open. Please go ahead.
Michael Cherny: Good evening and thanks for taking the question. I'll just stick with one here, Chuck. Mala, you talked about some of these investments you're making in terms of repositioning the business for growth as you think about the measurement period during '25, how are you going to judge the success or lack thereof of these investments as we think about? I'm not trying to get into a long term guidance discussion, but the philosophical approach towards this reinvesting, repositioning the business and where your signposts are to see if the investments you're making are leading to the returns that you want or not?
Mala Murthy: Yes, great question. So every year we go through as a leadership team, a fairly detailed, extensive exercise to really think about our overall capital allocation and making sure that it does two things. One, it aligns against strategic priorities both near and long term. And second, we look at balancing the investments and the level of investments with both the timing and the amount of the returns, right? When will we expect to see the benefits over time? We are going through that planning process as we speak to look at both the near term and the longer term. And we are going through the exercise of sort of looking at it vis-à-vis the priorities that Chuck talked about in his prepared remarks. Ultimately, what I would say, Mike, is it will translate into both financial metrics and importantly operating metrics, right? So how do these investments improve and help us feather in additional revenue growth over time? But also, how does this help from CCM conversion, right? We have a broad base of recruitables as we engage and contract with our clients, how do we get greater conversion of that which will translate into enrollment gains, as an example. So that's the planning exercise that we are going through. We aren't done yet. It is the usual process that we in the midst of. But I would expect that that is what is going to -- that is what all of this planning will result in a set of both financial, but much more importantly operating metrics that gives us confidence in the financial outcomes.
Michael Cherny: Okay. Thanks.
Operator: Thank you. Our next question comes from Sean Dodge of RBC Capital Markets. Your line is now open. Please go ahead.
Sean Dodge: Yes, thanks. So on BetterHelp, Mala, you mentioned seeing user count show some signs of stabilizing with the September count I think you said in line with where it was at June. Is there any more color you can share on what was helping drive that trend reversal over the quarter? Was that mostly from higher new user ads or did you see any improvements in retention or churn? And then, I know there's some seasonal dynamic that you're in, but anything else that kind of gives you confidence we could continue to see that metric now remain stable?
Mala Murthy: Yes, thanks Sean. Just a little bit of a double click into that. So, one, we certainly are, as we have spoken of, making international a priority from a BetterHelp perspective. We have talked about incremental ad spend internationally. That is certainly a driver in us getting new user additions to the platform, which is the driver of stabilizing user account at the end of the quarter vis-à-vis in September versus June. We are also seeing the remaining operating metrics, whether it be retention, churn, et cetera, largely stable as we have gone through 2024. So it really is the new user growth ads that is being helped by the investments that we are making. Now, the one thing that I would also just remind you all is Q4 is certainly one quarter from a seasonal perspective where we do judiciously modulate our ad spend just because we have typically seen seasonally higher CPAs and ad spend in the fourth quarter. So, we said in our prepared remarks that we will pull back on our ad spend in the fourth quarter relative to the third quarter, just not as sharply as we have done in prior years, sorry, in prior quarters, because we have been relatively disciplined as we have gone through this year in the other quarters from an ad spend perspective. What I will say is when we do pull back on ad spend as we do in the fourth quarter, that certainly has an impact on 4Q, but it will also, as always, have some impact as we roll into Q1 of next year. That is a very typical pattern that we see ad spend versus member count. And as we again go through the year next year, even with the assumption that we see ad pricing levels stay elevated, we are assuming they stay stable at elevated levels. We will see stabilization as we go through the year next year.
Sean Dodge: Okay, thanks. Thanks for the detail.
Operator: Thank you. Our next question comes from Sarah James of Cantor Fitzgerald. Your line is now open. Please go ahead.
Sarah James: Thank you. I was hoping that you could help us with a few of the moving pieces as we think about the jumping off point from 4Q. So how much of the 125 basis points in investment spend is something that would continue going forward? Should we think about a benefit from ad spend just moving out of an election quarter, an election year, and then all of the pricing strategy and mix shift that you spoke to, maybe you could help us with what is a clean jumping off point and what are the orders of magnitude of how influential these pieces are on getting to your guide of flat margins in '25?
Mala Murthy: Sarah, I would say, look, those are details that we certainly will provide when we come out with more detailed guidance for 2025 in February. I would say, we have given you all enough of a zip code for full year next year as we think about both revenue growth and adjusted EBITDA margins for Integrated Care. And we have given you some color for how we expect the better health business to roll through next year. I'm going to leave it at that for now. I will certainly happy to answer questions and post this call.
Operator: Hi speaker team, can you hear us? Hi speaker team, we're not receiving any audio.
Mala Murthy: Can you hear us?
Operator: Oh yes, we can hear you now. Sorry.
Mala Murthy: Okay.
Operator: Sounds good. Thank you. Our next question for today comes from Jailendra Singh of Truist Securities. Your line is now open. Please go ahead.
Jailendra Singh: Thank you and thanks for taking my questions. I want to go back to 2025 comments about growth of flat to up 2.5 for Integrated Care segment. Does that comment assume you end the selling season down year-over-year like you're trending at this point? Or is there assumption built in terms of some acceleration as we close the year? And related to that comment as you're calling out growth in membership and visit volumes, but are you seeing any offsets from product mix or any pricing headwinds which would cause those favorable trends to result in like flat to slightly up growth?
Mala Murthy: Yes, Jailendra, first of all, can you hear us?
Jailendra Singh: Yes. Yes we can.
Mala Murthy: Great. Okay, great. So two part answer. First is we are seeing, as we said in our prepared remarks, a decline in absolute bookings on a year-over-year basis as we stand at this point in the selling season relative to at about the same point last year. Now, as we also said, there is still time left in the year and we are continuing to aggressively pursue all the opportunities that are in our pipeline with obviously an intent to convert as much of the pipeline to bookings. We thought it would be important to give you all at least some early flavor for where our bookings are coming through and therefore how that might show up in our Integrated Care revenue growth next year. The second thing I would say is in terms of your question around membership and visits. It is absolutely true that with the increase in membership that we are seeing, we certainly are seeing robust visit revenue growth and that has been factored in as has the bookings challenges that we are having. They've both been factored in into the flat up 2.5% range that we are seeing right now for Integrated Care next year. Just to put a finer point on visit revenue, we certainly, if you look at the third quarter of this year, visit revenue has been up solidly, both from a volume perspective as well as a revenue perspective on Integrated Care side, certainly fueled by the membership gains that we have had. And that I would expect that to continue next year and that's been factored in.
Jailendra Singh: Okay. Thank you.
Operator: Thank you. Our next question comes from Richard Close of Cannacord. Your line is now open. Please go ahead.
Richard Close: Great. Thank you for the questions. Chuck, can you talk a little bit more about improving the products that you called out? And I guess Mala also called out the evolving market demand. Is there anything specific that you need to do on the product front to improve retention with clients or sign new business? Just curious anything specific there?
Chuck Divita: Yes, I think there's a few things that I would point out. One is, and some of these investments we're speaking of, as well as, what I alluded to in my prepared remarks about improving, the performance management of these things is. We've sold and have a lot of business in house today. And what we want to make sure is that we are, generating appropriate performance out of what we have today. So, for example, making sure we're activating visits appropriately with the broad reach that we have, that we are enrolling and activating and retaining chronic condition management members. So a lot of the things that we're doing are actually going to be improving our ability, to drive more consistent performance and I believe even better performance going forward. Even though we do a good job, there's a lot of recruitables out there, for us to activate and we're and working on strategies right now to do that. So, I think that coupled with what I would say more normal product features, and enhancements depending on, which product as well as how they work in a more integrated fashion together, that's an area of focus. And I think we're going to make some good progress there. I would also say in terms of the comment around making visits more valuable, I think over time. Again, back to the comments I made earlier around sort of the broad adoption already of virtual visits. It's is how do we make those visits more impactful to the patient, and how do we make those visits more impactful for the client that's enabling that access? The health plans, have certain objectives and strategies that they are trying to get everyone in the delivery system, to line up to support. And we are part of that delivery system and we should be, over time be able to activate consistent with their strategies that creates value. There are capabilities that we are building that, will be in place for 2025, that will put more information at the point of care, and allow us to activate against that. It's a little bit longer of a journey, but not that far along in terms of when we'll start to see some benefit of that. So, I think there's many things that we're focused on, including as we close out the year, to make sure that even with the information we've shared around 2025 bookings and retention, we're certainly not stopping there, and we're certainly working on things to impact 2025.
Richard Close: Okay. Thank you.
Operator: Thank you. Our next question comes from Glen Santangelo of Jefferies. Your line is now open. Please go ahead.
Glen Santangelo: Yes, thanks for taking my questions, Chuck. I just wanted to follow-up. I mean, when we talk about the selling season, it sounds like retention is a little bit lower, bookings are a little bit lower, and you're making some investments and maybe positioning '25 as a transition year. You've been on Board now for over almost five months and on this call you sort of laid out some pretty broad based themes. But what I guess I'm trying to really understand, and maybe you can elaborate a little bit more clearly, is what you're doing that you think is meaningfully different than your predecessor. Because it kind of sounds like, the Board and the senior management believe you have the right assets and strategy. Maybe it's just an operational issue, and maybe some of these investments will fix some of those operations. It's just not clear to me, I guess, what's meaningfully different. So any sort of elaboration or clarity would be helpful? Thanks.
Chuck Divita: Yes, I'll give you some examples. One of the first observations I had coming in, is an area where I think we were stymieing innovation. And we were impacting our performance and beyond what happened earlier in the year, which has had an impact on retention. So that's been discussed before. But I'll give you a tangible example. When you look at the responsibilities around market requirements, product development, delivery of the solution in terms of day-to-day and managing performance against that, those all were in four separate leaders. And when you click down below that, multiples of areas that had accountability for pieces and parts, of delivering what we delivered. We have now brought that under a singular structure. We've been able to generate millions of dollars of annual savings as a result of those moves, and sped up our effectiveness. And you've seen that come through in our results this quarter. So there are a number of tangible things that we are doing in that regard. Some of the capabilities that I've been talking about, they don't exist at the company today and didn't exist, but they will enable us to take advantage of the business that we've already sold. So there's a number of things that we have done over the last several months that, I think have already demonstrated some effectiveness in our results, as well as position us better for the future.
Glen Santangelo: Okay. Thanks for the comments.
Operator: Thank you. Our next question comes from Charles Rhyee of TD Cowen. Your line is now open. Please go ahead.
Charles Rhyee: Yes, thanks for taking the question. I wanted to ask about sort of what you're seeing in terms of utilization within the Integrated Care segment. I think if you did simple math, it looks like maybe the utilization as a percent of total members, is down sort of year-over-year. Maybe how much of that is just you have just a lot of new members coming on board. If that's the case, maybe what is sort of that kind of penetration, maybe a same store basis look like for clients that have been on the platform for over a year. And how is that trending And I guess related to that is, to the extent that you talked in the past about driving more value based arrangements. How would that show up in the numbers here? And maybe you can elaborate where progress is there? Thanks.
Mala Murthy: Yes, Charles, I'll sort of address it in a couple of different pieces. So first of all, going back to your question on visits and utilization, a few things right. First let's talk about number of visits, and sort of the utilization metric and equally importantly, talk about what that accrues in terms of revenue, because they are both important. And what I would say to you is, certainly you said it yourself when you are adding the number of members that we have done at the pace we have done over the past several quarters. Certainly the engagement and the utilization metrics will - take a little bit of time for us to fully unfurl across the - new member base. What I am seeing in the results, is that we are seeing strong visit volume growth, and importantly we are seeing strong robust visit revenue growth. And that is certainly both the impact of the volume growth, and the fact that we are seeing strength in accretive visit volumes, such as on the mental health side, certainly seeing visit growth on Primary360. So we are seeing broad based visit volume growth and that is certainly turning into stronger visit revenue growth. So that is, that is something that we will, as I said in my answer to Jailendra's question, certainly something that we are, I expect for us to continue to invest in. And I'm looking forward to seeing continued growth in that, and as how, continue to see visits certainly and engagement improve, across the broader member population that we have now.
Charles Rhyee: Thank you.
Operator: Thank you. Our next question comes from Allen Lutz of Bank of America. Your line is now open. Please go ahead.
Allen Lutz: Good afternoon and thanks for taking the questions. I want to follow-up on Glen's question and it's one for you, Chuck. Obviously, you're making some investments in 4Q, and that's going to continue into 2025. If we take a step back here and look at Teladoc Today, there's about $425 million, $450 million being spent today on tech and development and capitalized software, which I would assume has to be larger than some of your - the majority of your peers. Is that the right amount for Teladoc to be spending on an annual basis? And then as you've outlined some of the ways, you're going to be evolving some of that spend. Can you talk about maybe what percent of that spend, is going to be redirected? Just trying to get a sense of how much of the capital deployment, is going to be, is going to evolve over, let's say, the next year or two? Thanks.
Chuck Divita: Yes, thanks for the question. Well, my view is that we are already are spending enough money on that space. So what we're looking to do, and we've been doing this pretty aggressively over the last several months, is what I call rationalizing that portfolio, making sure it's aligned, to the objectives and imperatives we have, so that we can do both. We can bring that overall spend down over time, and we can free up capacity to invest in some capabilities that, are going to be important to our future. So I would agree with you that that's an area that's been continued focused. Now, I will say that the company's made good progress, over the last couple of years in managing that spend. I think that's come down, the total T&D has come down. And I would expect that you would see us continue with that. And that's really the mode we're operating in, which is how do we create efficiencies. So that we can create capacity to do both, deliver a solid financial performance for the company, and make investments for the future. And that's the mindset, and that's what we've been able to do.
Allen Lutz: Appreciate the color. Thanks.
Operator: Thank you. Our next question comes from Elizabeth Anderson of Evercore ISI. Your line is now open. Please go ahead.
Sameer Patel: Hi guys. This is Sameer Patel on for Elizabeth Anderson. I just think a little bit more of a technical question. It looks like you guys saw a pretty big step up in G&A in the quarter. Should we view this as more of the normalized baseline? And then maybe perhaps - add a little bit from the portion of that 125 basis point investment in integrated care, or is there something to call out around that step up?
Mala Murthy: Yes. So Sameer, this is, I would say that we had a few one-off investments that we put into the fourth quarter as we talked about. And so, I would say take that as a one-time, not as something that you would expect to continue on from a run rate perspective. Look, as we think about 2025, and our overall expense base across the company. We will certainly be paying close attention, to what is our expense base relative to our revenue growth, both on the integrated care side as well as the BetterHelp side. In our prepared comments, we have made plenty of comments around managing the business effectively, paying attention to both the top and the bottom line, continuing to focus on financial returns across the business. So I expect that as we finish our planning processes, we will certainly pay attention to every aspect of - our base, expense base across all of the P&L line items.
Sameer Patel: Got it. Thank you.
Operator: Thank you. We will take no further questions for today. So that concludes today's conference call. Thank you all for joining. You may now disconnect your lines.